Operator: Good day, ladies and gentlemen, and welcome to the Limelight Networks Q1 Earnings Results Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to your host, Doug Lindroth, Chief Financial Officer. Please begin. 
Douglas Lindroth: Good afternoon, and thank you for joining the Limelight Networks First Quarter 2012 Financial Results Conference Call. This call is being recorded on May 3, 2012, and will be archived on our website for approximately 10 days. If you are online, we have updated our standard investor presentation, and you can find it in PDF format within the Investors section of our website.
 Some portions of this conference call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are all statements that are not strictly statements of historical fact, such as statements regarding future events or future financial performance, including but not limited to, statements relating to Limelight Networks' market opportunity and future business prospects, guidance on financial results, statements concerning anticipated future growth and profitability, as well as management's plans, goals, strategies, expectations, hopes and beliefs, and statements concerning the anticipated effects of pending or completed business combinations or other strategic transactions.
 These forward-looking statements are subject to risks, uncertainties and other factors that could cause actual results to differ materially from those contained, projected or implied in the forward-looking statements, including the inherent risks associated with litigation, particularly intellectual property-based litigation. Reported results should not be considered an indication of future performance. Factors that could cause actual results to differ are included in the company's periodic filings with the Securities and Exchange Commission.
 I would now like to introduce Jeff Lunsford, Limelight's Chief Executive Officer. 
Jeffrey Lunsford: Good afternoon. The first quarter of 2012 was a quarter of steady progress for Limelight Networks with multiple key product releases within our software-as-a-service suite including advancements in our Limelight Video Platform, Mobility Solutions, Dynamic Site web content management platform, front end acceleration solutions and our agile cloud storage solutions. Together, these comprise an integrated suite of high value solutions that allow our customers to manage their entire digital presence across web, mobile, social and large-screen channels on one platform. These solutions are being well received by customers and prospects and contributed to 66% year-over-year growth in our value-added services. 
 The integration of these services differentiates Limelight from point solution providers and allows our customers to streamline their workflows, deliver exceptional multi-screen experiences to their customers and enhance their bottom lines. The cloud computing movement is real, and its benefits are demonstrable within our customer's businesses where there are foregoing heavy capital expenditures and infrastructure buildout projects and opting instead to work with Limelight as a key enablement partner in the cloud, from whom they get better services, more robust features and better performance all at a better price than from an internal IT project.
 Let's review performance highlights from the key areas of our value-added services. In online Video Platform and Mobile, combined revenue for the Limelight Video Platform and Limelight Mobile grew in excess of 80% year-over-year. We are seeing these 2 areas combined as a category, and we merged them operationally on January 1. IDC estimates that online Video Platform revenue will grow at a CAGR of 27% from over $400 million in market size in 2011 to over $1 billion in market size in 2015. Our principal competitors in this OVP category include pure-play service providers such as Brightcove and Ooyala, and we are not seeing the large technology players with a competitive solution in this rapidly growing space. 
 Our online Video Platform service is differentiated from our pure-play competitors through the integration with our SaaS services such as Dynamic Site Platform, our web content management solution and through the efficiencies and advantages our customers enjoy through the ability to run our services over our global high-performance computing and delivery platform. And accordingly, we are seeing exciting growth and win rates from our Limelight Video Platform service.
 Significant new Limelight Video Platform customers in the quarter include NASA, Accenture Academy, CIBC, Legg Mason, Entergy and Alloy Media. These new customers representing a strong cross-section of enterprise and digital media evidence the continued drive to engage online audiences through digital video. Noteworthy new customers using our mobile solutions include Primerica, Brocade, State Farm Insurance and CTV Television Network. We now have over 300 customers leveraging our mobility capabilities across our LimelightREACH, Limelight Video and Limelight Dynamic Site Platforms.
 In cloud web content management, adjacent to this OVP category is our SaaS solution for web content management, which we call Dynamic Site Platform. According to Gartner, the web content management market was over $1.1 billion in size in 2011 and has a CAGR of 14%. Revenue here grew 5% year-over-year, picking up from no growth last quarter as we had forecast for you on our last call. We expect growth to accelerate more through 2012 as we deliver on our growing pipeline of opportunities to replace cumbersome legacy in-house software installations with our superior cloud-based offering. Our recent integration of demand base, which enables our customers to engage their site visitors with more relevant content, has been well-received by existing and new customers including the recently signed ACT Inc., who will be utilizing our Video Platform.
 In the area of Limelight Accelerate, complementing these SaaS offerings is Limelight's accelerated line of services where revenue grew in excess of 45% year-over-year. As we discussed last quarter, one of our key growth initiatives is to expand into the whole site and small object half of the content delivery market, which we believe represents a greater than $1 billion market opportunity. Our pipeline for Accelerate opportunities continues to build. Recent consolidation in the acceleration market has left fewer alternatives, and our customers' benchmarks are showing that our differentiated platform meets or beats competitor solutions in many use cases. 
 Limelight Accelerate decreases the time it takes for users to interact with a website no matter what connected device they are using. Customers benefit from more completed transactions, more successful conversions and increased visitor loyalty. During the quarter, we added a number of high-profile customers on our Limelight Accelerate suite of services including Peugeot Citroën, the Government of Canada and the leading global reinsurers, Swiss Re.
 Cloud storage revenue grew approximately 50% year-over-year. In the quarter, we continued to migrate new and existing customers to Limelight Agile Storage, our high-performance differentiated cloud storage offering, which leverages our massively provisioned global computing platform. IDC forecast that cloud storage will be a $7 billion market in 2012 and grow to a $12 billion market in just 2 years in 2014. Limelight Agile Storage is well positioned to participate in this growth. Agile storage offers global geographic placement, business process management for content and business policy controls to simplify administrative overhead, reduce long-term IT costs and ensure compliance to regulatory standards. 
 We believe Limelight Agile Storage is unique and offering the most robust policy management and performance capability on the market today. Limelight Agile Storage, which allows files to be accessible wherever and whenever users need it, at blazing fast speed. Our Agile Storage customers represent a strong cross-vertical adoption including global gaming, entertainment, social media and publishing organizations.
 In the area of consulting services, consulting was actually a soft spot in Q4 and in this quarter. This quarter, our consulting revenue declined about 14% on a year-over-year basis. This is holding down overall value-added services revenue growth. Looking forward, we expect to get that growth -- the growth of this business back on track. And we've recently brought in a great manager formally from Success Factors and IBM Global Services to help scale this business.
 Regarding customers, I'd like to review some success stories for you. Q1 brought many positive endorsements of our software-as-a-service strategy. The first was our success in signing significant reseller agreements with key strategic partners that involve large revenue commitments and extend beyond core content delivery services. These agreements include: number one, a multi-year deal with Bestel that encompasses our complete suite of cloud-based SaaS solutions. This relationship will be key in driving significant revenue growth from the South and Latin American regions during 2012 and beyond. Number two, a just announced agreement with XO Communications' Concentric Cloud services businesses, which include CDN and software-as-a-service offerings and will provide us the opportunity to penetrate key enterprise customers where XO has -- and Concentric have great relationships, and also, the SMB market where Concentric has over 20,000 customers. We strengthened our channels group mid last year, and we are seeing strong interest from great channel partners like these to resell and build practices around our value-added services.  
 As for direct customers, we published multiple case studies in the quarter from a broad cross-section of industries. Customer success highlights include: cesarsway.com, who increased video views over 400% since deploying the Limelight Video Platform integrated with our content delivery network services; Advance Publishing, who manages their digital presence with Limelight Dynamic Site Platform, Limelight Video Platform and content delivery services have seen site traffic increased nearly 50%, and advertising revenue increased over 170% since deploying our solutions; e.Republic, a multi-site publisher who is looking to improve workflow, leveraged their content across their web properties and deliver a more social experience to their users shows Limelight Dynamic Site Platform with our Limelight Video Platform and content delivery services. As a result, they have efficiently streamlined their digital publishing workflow and their site traffic has grown substantially;
 And lastly, Punjab Kesari Group, the major Indian publisher selected Limelight Networks' integrated cloud-based services for online Video Platform and media delivery and saw a 30% increase in monthly video views immediately following launch. Along with these compelling case studies, we've also had positive public endorsements from industry-leading customers such as wafer.com, and Peugeot Citroën, both new Limelight Accelerate customers. And internationally, IMJ, Panasonic highlighted how they leverage our expertise in building out a live IP to HDTV experience. These are great examples of Limelight successfully moving up the stack and developing more strategic relationships with our customers. Our cloud-based software-as-a-service solutions were solving business challenges for our customers, and we continue to invest in these solutions as they paint a bright future for Limelight's and our customers' mutual success.
 In the content delivery area, we continue to focus on signing only smart business and on being disciplined in price. That business declined 3% year-over-year, excluding Microsoft, as a result of this discipline as we focus our energies up stack. To leverage our IP in this area though, we launched a new managed content delivery offering called Limelight Deploy. Deploy allows network mobile and cable operators to install and operate our caching technology within their own infrastructure and enables them to more efficiently handle the content congesting their networks, while also creating new and compelling value-added services revenue for both their business customers and end subscribers. 
 Limelight Deploy, together with our complete stack of software-as-a-service applications and professional services, uniquely qualify us to help operators capitalize on this opportunity. These partnerships are key in the evolution of our business model to a less capital intensive operating profile. With Deploy partnerships, we can extend our content delivery network footprint into new geographies and expand capacity in existing geographies without incurring large capital expenditures. As these services grow and as value-added services continue to grow as a percentage of Limelight's revenue, we are able to build more value with less CapEx.
 In 2011, our CapEx was $30.4 million. In 2012, we expect it to be a good bit lower between $15 million and $20 million. And in 2013, we believe CapEx will be lower as a percentage of revenue than this year.  Our primary strategic focus is scaling our business with these higher gross margin and less capital intensive services. 
 I'll now hand the call to Doug to review our financials. 
Douglas Lindroth: Thanks, Jeff. Please note the following financial results that I will be discussing are for continuing operations and exclude EyeWonder and Corus from current and prior periods. For more information regarding the discontinued operations, please see our earnings press release that we issued today and our Form 10-Q that we will file in the next few days. 
 During the first quarter, Limelight Networks recorded total revenue of $44.3 million, up 7% from the first quarter of 2011 and down 4% sequentially from Q4 of 2011. Our Q1 revenue was up 12% year-over-year excluding the Microsoft project revenue. Our value-added services revenue grew in excess of 66% year-over-year on an as-reported basis and was 31% of total revenue during the first quarter compared to 20% in the same period of 2011, and up from 29% from Q4 of 2011.
 During the first quarter, Limelight's international operations represented 31% of total revenue, which was up from 30% in the same period of 2011. We reported first quarter adjusted EBITDA of $2.2 million compared to $5 million for the first quarter of 2011. As a reminder, the revenue associated with our contract to assist Microsoft build their in-house CDN ended in February 2011. Revenue recognized specifically from this project was approximately $1.8 million in the first quarter of 2011.
 Our Q1 GAAP loss from continuing operations was $9.7 million or $0.09 per basic share compared to a GAAP loss from continuing operations of $6.5 million or $0.06 per basic share in the same period in 2011. We also reported first quarter non-GAAP net loss before stock-based compensation, litigation costs, amortization of intangibles, acquisition-related expenses and discontinued operations of approximately $5.5 million or $0.05 per basic share compared to a non-GAAP net loss of approximately $2 million or $0.02 per basic share in Q1 2011.
 Please refer to the tables included in our press release for the reconciliation of GAAP measures to these non-GAAP measures. GAAP gross margin was 38.3% during Q1, up from 36.6% last year. Gross margin increased over Q1 of 2011 as a result of higher gross margins from increased revenue in our value-added services, offset by the completion of the Microsoft project revenue amortization. Cash gross margin was 55% for Q1, up from 54% in the same period last year.
 During the first quarter, our operating expenses were $26.5 million, an increase of approximately $1.6 million from last quarter and an increase of $4.9 million from Q1 2011. Our operating expenses increased over Q4 as a result of an increase in company-wide employee compensation, additional headcount and increase in expenses due to our annual global sales conference that took place in January, increased audit fees to complete our 2011 audit and increased marketing expenses. These increases were offset by a reduction in our acquisition earn out liability, reductions in stock-based compensation and amortization of intangible assets.
 Total depreciation and amortization for the first quarter was $8.2 million, down from the fourth quarter of $8.6 million and up from $7.2 million in the first quarter of 2011. The increase compared to Q1 2011 is related to increased network depreciation and intangible asset amortization from our acquisitions. Depreciation and amortization in the first quarter include $6.8 million of network-related depreciation. Stock-based compensation expenses for the quarter were $4 million compared to $4.2 million last quarter and $3.8 million in Q1 of 2011.
 Moving onto the balance sheet, our combined cash and short-term marketable securities balance on March 31 was approximately $137 million, down from approximately $140 million in the fourth quarter. The decrease in cash and marketable securities is primarily related to the repurchase of approximately $1.2 million of our common stock and capital expenditures of approximately $5.7 million, offset by cash flow from operations of approximately $4 million. Days sales outstanding for the quarter were 56 days, up from 55 the previous quarter and down from 58 days in Q1 2011.
 Regarding guidance for the second quarter, we expect to achieve revenues in the range of $45 million to $46 million. Our value-added services revenue will be approximately 31% to 33% of total revenue in Q2. For this revenue range, we'd expect gross margin to be 38% to 39%. We believe that our gross margin will continue to increase throughout the year as our value-added services revenue gradually continues to grow as a percentage of total revenue. Stock-based compensation expenses for Q2 are expected be approximately $3.7 million. Capital expenditures are expected to be approximately $4 million to $6 million.
 We anticipate second quarter operating expenses, excluding stock-based compensation, litigation expenses and acquisition-related expenses to increase approximately $700,000 from Q1 due to an increase in company-wide employee compensation related to additional headcount, increased marketing spend, offset by lower auditing fees. 
 With that, I will turn it back to Jeff. 
Jeffrey Lunsford: Thanks, Doug. This update hopefully give you some good insight into how much we've accomplished in transforming Limelight from a pure-play video CDN into an innovative provider of high value and high-performance integrated cloud-based services that help businesses more efficiently and more effectively manage their digital presence across Internet, mobile, social and large-screen channels.
 Our strategy is simple: Keep scaling our high-performance global computing platform, keep on advancing our content delivery solutions with lower capital requirements and build adjacent, high-value software-as-a-service and cloud-based solutions, which are complementary to our core content delivery offering and which are differentiated from other point solutions through their interoperability and the fact that they run on our global computing platform.
 We're excited to execute on the opportunities this positioning presents for us in 2012 and beyond. As we discussed last quarter, we are targeting to exit 2012 with our value-added services on a $75 million to $80 million annualized run rate, growing at approximately 40% year-over-year. This will provide us with a great foundation for having value-added services in 2013 that will be on a run rate of approximately $100 million in recurring revenue with SaaS-like gross margins. Our value-added services are in some of the most exciting areas of the Internet technology stack, and we believe these services will prove to be an attractive asset for our shareholders who have held the stake in when they look back at 2012. 
 Finally, we're announcing today that our Board of Directors approved a $15 million stock repurchase program. As you heard in my comments earlier, we're bullish on the prospects for our global computing and delivery platform combined with our value-added services, and believe that purchasing our stock will turn out to be a great long-term investment decision.
 At this time, operator, we'll open up the line for Q&A. 
Operator: [Operator Instructions] Our first question comes from David Hilal with FBR. 
Samad Samana: Samad Samana here for David. We're hearing that you guys are depeering some of the -- your smaller ISPs. Is that accurate? And could you explain what the motivation behind that would be and what the benefits and risks are? 
Jeffrey Lunsford: Sure, Samad. We've been sort of connected -- a couple of years ago, we were connected to about 900 last-mile providers. I think as of our last filing, that number was down about 700, and we think we'll get to sort of the right steady-state mix of about 600 last-mile providers. And the peering, I guess, practices and policies in the industry are such that we work with our partners, we work with our customers. Most of that has been probably 150 of the last 200 have been last-mile providers that were showing very little traffic on our network. They didn't even show up on our flow diagrams. So you don't -- if you depeer a very small network, you still deliver to that network. You just deliver to them through one of your other peers. And so our network engineers are constantly looking at things like our BGP routing tables and what's the optimal mix and there's -- and analog boards and everything are always folks who are for, against any peering or depeering action. But what we're doing is optimizing our network to deliver the best performance for our customers. 
Samad Samana: And so is there a net benefit to that? Is it -- does it help you guys as far as your costs with the telcos that are providing you with -- for your peering relationship with them? 
Jeffrey Lunsford: Well, there's a benefit in that you are not routing to 800 different points, end points, so the routing tables are more efficient. There's not a huge capital benefit or anything like that. But it's, again, the overarching objective here is to deliver the highest quality, broadcast quality experience to all eyeballs out there. And you're still getting to guys who have been depeered. You're getting to them through your other peers. 
Samad Samana: And then, one more if I could. With Akamai acquiring Cotendo, has there been any... 
Jeffrey Lunsford: Samad, one other thing I wanted to say on the depeering thing, because that was all over message boards today. Our policy of peering with 600 networks is probably 5x more liberal than someone like level 3s. So we would have a long way to go before we were doing anything controversial at all. 
Douglas Lindroth: And the amount of traffic that's come off with those peering networks is very little in terms of our overall traffic. And often times, people don't understand settlement free peering still comes with a cost. There are cost to us, there are network costs of connecting with somebody. So there is a cost to that. So we look at it from both an effectiveness of the network plus the total cost and said what's the most effective for us to manage our overall network from both a delivery standpoint and a cost, which is when we made the decision to make the changes that we made with some of the very small traffic connections that we have on some of those peers. 
Samad Samana: Okay, great. And I was just going to ask one last question in a different vein. With Akamai acquiring Cotendo, as it been there any disruption in that market? And have you had the opportunity to pull some customers away there? 
Jeffrey Lunsford: Well, as we said earlier, our Accelerate business grew, I believe, it was 50% year-over-year. So that the pipeline continues to grow. We've had very healthy pipeline growth. We have a very competitive product in that space. The combination of site acceleration and front-end acceleration is something that customers are incredibly excited about. And so some of that consolidation may be helping, but it's really the product and the sales execution of our team. It's sort of hard to tell exactly which is -- what the root cause is of the pipeline growth and the revenue growth, but I think it's a little combination of everything. 
Operator: Our next question comes from Michael Turits with Raymond James. 
Michael Turits: Just a couple of questions on value-added services, the guide looks very strong next quarter in terms of percentage and click [ph] that accelerates. In the past, you've given the value-added services pro forma growth rate. Do you have that for this quarter? 
Douglas Lindroth: The pro forma was around 25%. 
Michael Turits: Okay. And so that -- and then it looks like you're looking for an acceleration, but it didn't really seem like it accelerated this quarter. Most of that is consulting issue, right? 
Jeffrey Lunsford: Yes. It's consulting and web content management was -- the business was not growing when we acquired it, and we've said we build pipeline. It was about a 6 month sales cycle. And then once you sign those, there's probably about a 3- to 6-month ramp to revenue, so we're beginning to see that growth rate. And we expect that growth rate, which was 5% year-over-year this quarter, to actually be higher next quarter. 
Michael Turits: Right. And that's what I was going to get to next. And it looks you had a nice ramp-up of -- quick math, that was $15 million, $16 million or so, I mean, $14 million to $16 million in value-added services and a pick-up in the pro forma growth rate. So where do you have the most visibility into there among value-added services that would give us that acceleration? 
Jeffrey Lunsford: Well, the vast pipeline has grown 50% since our last earnings call, as has our overall pipeline, so the CDN pipeline has grown as well, and I'm looking at my pipeline from basically February for comparing May 1 pipeline to February 1 pipeline, so which in very healthy pipeline growth, a lot of good activity out of our sales kick off when we really emphasized this new integrated suite. And the sales force marched forth and has done hundreds of demos and a lot of good dialogue with customers. And there isn't really one that stands out even Agile cloud storage, which isn't SaaS, it's platform-as-a-service if you want to be technically accurate, has great pipeline growth. We have web content management, which has great pipeline growth. OVP and mobile, as we said, that category is really combined into one now, great pipeline growth there. So the suite, the integrated proposition running on the high-performance platform is really resonating with the market. 
Michael Turits: And last question. I don't know if you can, but of the big -- can you give us a sense for what makes up what proportion of your value-added services in terms of your major components? 
Douglas Lindroth: Yes. The mix really hasn't changed from what we've talked about in the past, but our cloud storage is the biggest chunk within there, followed by then the web content management and then you have the OVP, our Limelight Video Platform and mobile. And then behind that, you have our professional services and then the Accelerate products. 
Operator: Our next question comes from Aaron Schwartz with Jefferies. 
Aaron Schwartz: I was wondering if you could just walk through a little bit more on the consulting. Did -- is this something you expected in the quarter and then you mentioned the new hire here, but maybe you could just walk us through -- you know what happened there also with the VaaS guidance for the year, I mean. And the way you just talked about that pipeline, it seems like some things maybe picked up a little bit beyond your expectations to make up for some of the weakness on the consulting. But maybe you could just kind of walk through both parts there? 
Jeffrey Lunsford: Sure. The consulting, there are really sort of 2 revenue profiles within consulting. There is recurring revenue where we are paid for dedicated teams providing services for customers, and that's pretty steady. But then you have a big project-by-project stuff where if we did a managed CDN deal, and we were standing up POPs for our customer in some foreign country, you might see in one quarter $0.25 million or even $0.5 million revenue recognized. And so it's really the -- when we sell pure SaaS offerings, there's actually not as much consulting except for web content management. Web content management does have a higher consulting component. As that business grows, we expect to see it pull a lot more consulting with it because web content management is you're in the workflow of creating content, publishing content to the website, updating content. So our experts go and they sit with the business and map workflow and you tend to be replacing some in-house legacy software system there, too. So that's kind of what's happening with consulting. And then on VaaS, yes, there was sort of some offsetting over performance, I guess, from our expectations last time, and the pipeline grew 50% over 90 days. So we feel very good on a forward-looking basis what that portends. 
Douglas Lindroth: Yes. The other thing I would add is when we look at -- when we set our guidance for Q4 of where we expected the CDN revenue to come in and the VaaS revenue, we're real close on where we guided to. We had said our VaaS business would grow 60% to 70% on a year-over-year basis. And as we said in the prepared remarks, it was 66%. So it was in line and it's just that there were some pluses or minuses. Although professional services was down 14%, it wasn't far off from what we expected. So it wasn't like it was way off, and we way outperformed in other areas. It was slightly off. So the overall mix within our VaaS came in pretty much in line where we had expected. 
Aaron Schwartz: Okay. That's helpful. And then second question if I could. You kind of, I guess, alluded to this a little bit. But the question is, on the managed CDN offering, can you just walk through the mechanics of how that will look? I mean, it sounds like you've got a services component there. But once you get a customer up and running, is that sort of a perpetual or sort of an upfront product revenue that you would recognize, or is that sort of a capacity-based license that would scale with volume growth over time? I'm just wondering if you'd walk through the mechanics of how that would look through the financials. 
Jeffrey Lunsford: Sure. So it's a managed service. It's not a license per se. So we are installing our CDN software on our customers' infrastructure in their POPs. And so we'll install our software on a server from telco x, and we will then help them manage that. And running a CDN is incredibly complex, when you have live events that they need help with and things like that. So that managed CDN offering is different than other solutions where they license software, and they're sort of expected to learn the software and run it and deal with a very operationally complex solution. And we go in, and we say, "We've been doing this for 12 years. Our technology is very tuned, and it handles all the different format sizes at live and on-demand." And so our folks will be the primary operators of this system on the infrastructure, and your folks can sit side-by-side and learn how to do it. And over time, they may take first tier support and we will provide second and third tier support. The other thing that's very attractive to telcos is the fact that we don't just enable them in CDN. It's that we enable them with all these other value-added services. Most network operators around the globe have business services lines of business, and they want to be able to sell more valuable things than just transit and hosting an IVR services to their customers. They want to be able to go in and talk to their customers about the same thing we talk to our direct customers about. You can manage your entire presence on one integrated platform in the cloud with this telco x  solution. And the XO partnership, which was announced today is a very exciting example of that. They've relaunched their Concentric business which has over 20,000 customers. They're already providing many hosted services to those customers, and they can now go to market and also offer online Video Platform or web content management, site acceleration, cloud storage. So we're very excited about that partnership, and that's a good example. And then Bestel down in Latin America is another good example of that. 
Douglas Lindroth: Yes. And then from how it looks in the P&L, it looks similar to some of the previous reseller arrangements that we've talked about where they will sell, we get a pass-through of the revenue back to us. The difference from a P&L standpoint is, it doesn't come along with all the capital expenditures and therefore the depreciation through our P&L. 
Jeffrey Lunsford: Yes. And I mean, there's is usually some upfront implementation that shows up in the consulting line, which fades over time because we've implemented them and then we're just helping them manage it. 
Operator: Our next question comes from Donna Jaegers with D.A. Davidson. 
Donna Jaegers: On Netflix, were they a 10% customer again in the quarter? 
Douglas Lindroth: They were. They were about 11% this quarter, and they were, compared to last year, in Q1, they were 10%. 
Donna Jaegers: Okay. And then can you -- as you move more through these value-added products, obviously, you're selling to a different customer set than you were just talking to the media companies. So what have you done to morph your sales force to -- and/or increase your sales force to talk more to these different customer sets? 
Jeffrey Lunsford: Great question, Donna. We've been hiring and building our sales force and doing some transition of sales force folks and their hiring profile is people who understand enterprise sales, understand solution selling, understand the consultative value-based conversations you need to have with customers to go in and sell these solutions. They come from -- some come from enterprise offer, some come from software-as-a-service like the executive from Success Factors or formerly from Success Factors, who we hired to run consulting, and that's really the profile. 
Donna Jaegers: And I understand, you also sort of split change -- you're really sort of addressing verticals, but then you had inside sales sort of talking to everybody and now you got inside sales within each vertical. Is that correct? 
Jeffrey Lunsford: In the U.S., we have the media sales force, media entertainment, and we have an enterprise sales force. And now both sales forces sell our entire suite of solutions, but the conversation you have with a healthcare company or an education company and how you position this suite of services and which ones you emphasize is different than if you were talking to a game software company or a video streaming company. So that's why primarily in the U.S., we shifted that go-to-market to those 2 sales forces, and then each of those groups have some inside sales folks that are doing telesales, and then they have field sales folks that are out in the field, as you'd imagine. In the international geographies, those folks are selling everything and they'll have a geographic team focused on EMEA, focused on Asia Pac, selling everything. But they also have a different conversation when they're talking to a media company than when they're talking to an enterprise. 
Douglas Lindroth: Yes. And a lot of it is not all entirely new and when we look at where our new bookings are coming from, half of them are coming from our existing customer base. So those relationships and those media counts are doing a good job bringing the subject experts with them into those customers that we have great relationships with and selling them additional products. 
Donna Jaegers: I can't remember, are you guys giving out number of customers anymore? 
Douglas Lindroth: Yes. On the press release schedule, it was about the same as last quarter. Let me see, got it right here. 1,562 at the end of Q1. 
Donna Jaegers: And then one last quick question on traffic growth year-over-year, on the CDN, can you talk about that at all? On the media CDN? 
Douglas Lindroth: Yes. So traffic growth was about in line where we expected to see it during the year. We are seeing -- we expected around 40% for the year. So Q1 was slightly lower than that. We still think for the year, traffic will probably be around that 40%-type growth. And then on the price compression side, we did see it in below 30% on the overall price compression. So like we're seeing for the last 3 quarters of last year, price compression did improve and pricing was improving in the market. 
Operator: I'm not showing any other questions in the queue. I'd like to turn it back over to management for closing comments. 
Jeffrey Lunsford: We have no closing comments. Thank you, all, for your time today, and we look forward to seeing you out in the market. 
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the conference. You may now disconnect. Good day.